Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Korn Ferry First Quarter fiscal year 2022 Conference call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we'll conduct a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. We have also made available in the Investor relations section of our webcast at kornferry.com a copy of the financial presentation that will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance plans and goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.  Although the Company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the Company's control.  Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic and other reports filed for the Company with the SEC, including the Company's annual report for fiscal year 2021 and in the Company's soon to be filed quarterly report for the quarter ended July 31st, 2021.  Also, some of the comments today may reference non-GAAP financial measures such as cost and currency amounts, EBITDA, and adjusted EBITDA. Additionally, information concerning these measures including reconciliations to the most directly comparable GAAP financial measures is contained in the financial presentation and earnings release relating to this call, both of which are posted in the Investor Relations sections of the Company's website at kornferry.com. With that, I will turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Okay. Thank you, Cynthia. And good morning, and thank you, everybody for joining us. I guess I'd first say that it's pretty clear the diversity and the relevancy of our offerings, as well as the outstanding efforts from our colleagues has resulted in another great quarter. Our strategy and efforts are clearly yielding results as we delivered a 70% increase in fee revenue with really strong profitability EPS of a $1.37 and an adjusted EBITDA margin of 20.7%.  And these results are the continuation of our momentum over recent quarters and our performance speaks to our agility and importantly, to the purposeful decisions and deliberate actions we've taken, not only over the last few quarters but over the last several years. And now they've come together in a critical mass of opportunity.  As a result, today's Korn Ferry is poised to seek the opportunities of tomorrow. And those opportunities begin with a world of work that's in a massive state of transition and maybe always will be. Companies re-imagining their businesses from strategy to people, to culture, career nomads, aging demographics, the real war for talent, work from anywhere, anytime.  And last but not the least, the digitization of everything. These are the features of our new landscape of work. And we don't see that changing anytime soon. In response, companies are rethinking their old structures, their roles, responsibilities, how they compensate, engage, motivate, and upskill their workforce, as well as the type of agile talent they hire and how they hire that talent.  And they're all going to need to lead differently. And as I said, this new world is creating opportunities for Korn Ferry. The mega changes that I described aligned very nicely with our businesses. Today, wherever and whenever leadership meets talent, Korn Ferry is at that cross-section, enabling agility in a world in transition and driving performance for our clients.  To position our Company for long-term success, we remain relentlessly focused on this dynamic world of work. Our scaled capabilities include org strategy, leadership and professional development, assessment, succession, and rewards in talent acquisition and of course, the judgment and expertise go from decades of experience and insight into the questions companies are grappling with across industries.  We're going to continue to drive an integrated go-to-market strategy through our marquee and regional accounts, which represent about 35% of our portfolio. And this facilitates not only growth and enduring partnerships but also is key to more scalable and durable revenues. In the quarter, about 30% of our revenue was driven by cross-referrals in all-time high, which I think demonstrates the effectiveness of our go-to-market strategy.  Today, the fight for talent is absolutely more profound than we've ever seen. This new world is current -- is driving a robust market for talent acquisition expertise. From executive search to pro search to RPO, we're helping companies find the right talent, fitting the right needs. And looking at our digital and consulting businesses, we've been actively marrying our capabilities with today's megatrends.  The result is larger projects with greater sustainability and more durable revenue. In areas such as D&I and organizational transformation, as well as core solutions, such as assessment, pay and governance, and leadership, and professional development. Looking ahead, I truly feel we have the right strategy with the right people at the right time to help our clients drive performance in this new world and our results are clearly affirming this belief. With that, I'm joined by Gregg Kvochak and Bob Rozek and Bob, I will turn it over to you.
Robert Rozek: Great. Thanks, Gary and good afternoon or good morning, depending on where you're calling in from. Our financial results in the first quarter were outstanding and they continue to push to new highs. Our unique mix of organizational consulting solutions continue to grow in relevance and that gives us a greater share of strengthening global markets.  Clients are embracing our solutions to help them navigate today's unprecedented and rapidly changing work and social environment. And that's driving our fee revenue and profitability to new heights. Let me touch on a couple of highlights from the first quarter. As Gary mentioned, fee revenue in the first quarter was up $241 million or 70% year-over-year and $30 million or 5% sequentially.  And it's reaching an all-time high of $585 million. Now, that's quite an accomplishment, hitting consecutive highs in only the third and then fourth quarter removed from the trough. Consolidated fee revenue growth in the first quarter measured year-over-year was up 81% in exact search, 103% in RPO and pro search, 50% in consulting, and 44% in digital. Also, our new business growth in the first quarter was very strong.  Our results continue to demonstrate the success of our go-to-market strategy. Revenue generated from our marquee and regional accounts continues to steadily grow. In the first quarter, revenue from our marquee and regional accounts was up 70% year-over-year and 4% sequentially.  And as Gary mentioned in the first quarter, over 35% of our consolidated fee revenue was generated from these accounts. In addition, cross-line of business referrals continue to grow. In the first quarter, about 30% of fee revenue was generated from cross line of business referrals, which is up from 25.5% and 28.5% in the first and fourth quarters of fiscal '21, respectively. Now, earnings and profitability also reached new highs in the first quarter.  Adjusted EBITDA grew $111 million year-over-year and 8.5 million or 7.5% sequentially to $121 million with an adjusted EBITDA margin of 20.7%. Now, that's our third consecutive quarter with an adjusted EBITDA margin over 20%. Our earnings and profitability continued to benefit from higher consultant and execution staff productivity and lower G&A spend driven by virtual delivery processes and reduced levels of related business development spend.  Fully diluted earnings per share also reached a record level in the first quarter, improving to a $1.37, which was up from a $1.56 compared to adjusted fully diluted earnings per share in the first quarter of fiscal '21 and up $0.16 or 13% sequentially, I would like to point out that in the first quarter, our fully diluted earnings per share benefited by $0.07 to $0.08 from a lower tax rate of 23.8%.  Now, currently, we don't believe that this rate is sustainable. And for all of fiscal '22, we're projecting an effective tax rate in the range of 26% to 27%. Now, turning to new business, which also grew to record levels by accelerating each consecutive month of the quarter. We're pleased to share that our new business generation in each of the last 6 months is in our top 10 ever, with 3 of the months occupying spots 1, 2, and 3.  Now, that's a clear demonstration of the relevance of our solutions in the world today. Now, more specifically, on a consolidated basis, new business awards, excluding RPO, were up 59% year-over-year and up approximately 2% sequentially. New business growth was strongest for professional search, which was up 14% from the fourth quarter of fiscal '21.  RPO, new business has another strong quarter in the first quarter with a $113 million of total contract awards. Our investable cash balance also improved. At the end of the first quarter, cash and marketable securities totaled $904 million. Now when you exclude amounts reserved for deferred comp arrangements and for accrued bonuses. the global investable cash balance at the end of the first quarter was approximately $614 million, which is up a $103 million or 20% year-over-year.  Now, of that amount, approximately 220 million was in the U.S.. It continues to be our priority to invest back into our business. And that's to maximize our future growth. This includes the hiring of additional fee earners and execution staff. Over the last quarter, total new fee earner consultants grew by 127, which includes both new hires and recent promotions.  Additionally, consistent with our balanced approach to capital allocation, we repurchased approximately $3 million of stock in the first quarter and paid a quarterly cash dividend of approximately $6.9 million. With that, I will turn the call over to Greg to review our operating segments in more detail.
Gregg Kvochak: Thanks, Bob. Let's start with KF Digital. Global fee revenue for KF Digital was $81 million in the first quarter, which was up nearly 44% year-over-year and flat sequentially. The subscription and license component of KF Digital fee revenue continues to steadily improve. In the first quarter, subscription and license fee revenue was $24 million, which was up approximately 14% year-over-year.  More importantly, global new business for KF Digital in the first quarter was $108 million with 36% of this new business related to subscription and license services up 69% year-over-year, on a year-over-year basis. Earnings and profitability remains strong for KF Digital in the first quarter with adjusted EBITDA of $25.6 million and a 31.8% adjusted EBITDA margin.  Now, turning to consulting, in the first quarter, consulting generated $148.5 million of fee revenue, which was up approximately $49 million or 50% year-over-year. Fee revenue growth was broad-based across all solution areas and strongest regionally in North America, which was up over 70% year-over-year.  Consulting new business was also very strong in the first quarter, growing approximately 36% year-over-year and 2% sequentially to a new all-time high. Additionally, while the volume of engagements over $500,000 has remained strong, in the first quarter, the volume of smaller assignments, those under $500,000 in value, grew sequentially potentially signaling a rebound in demand and spending by our smaller regional clients who tend to buy focus point solutions.  Regionally, new business growth was broad-based in the first quarter with both EMEA and APAC having the best quarter of new business in over 2 years. Adjusted EBITDA for consulting in the first quarter was $26.8 million with an adjusted EBITDA margin of 18.1% Growth for RPO and professional search continued to accelerate in the first quarter.  Globally, fee revenue was $139.3 million, which was up 103% year-over-year, and approximately 19 million or 16% sequentially. Both RPO and professional search continued to take advantage up the surge in demand for skilled professional labor. RPO fee revenue grew approximately 98% year-over-year and 11% sequentially.  While professional search fee revenue was up approximately 112% year-over-year, and up 24% sequentially. New business wins for both RPO and professional search, we're also extremely strong in the first quarter. Professional search new business was up 14% sequentially, and RPO was awarded $113 million of new contracts consisting of $45 million of renewals and extensions, and $68 million of new logo work.  Adjusted EBITDA for RPO and professional search continues to scale in the first quarter, improving to $34 million with an adjusted EBITDA margin of 24.4%. Finally, in the first quarter, global fee revenue for executive search reached a new all-time high of $217 million, which was up 81% year-over-year and 8% sequentially.  Growth was also broad-based led by North America, which grew 100% year-over-year and over 6% sequentially. Our international regions continued to accelerate sequentially. Fee revenue in EMEA and APAC were up approximately 4% and 22% respectively. We continue to aggressively invest in expanding our network of consultants in the first quarter.  The total number of dedicated executive search consultants worldwide at the end of the first quarter was 565, up 55 year-over-year, and up 41 sequentially, including 22 colleagues who are recently promoted. Annualized fee revenue production per consultant in the first quarter improved to a record $1.59 million.  And the number of new search assignments opened worldwide in the first quarter was up 57% year-over-year and 2% sequentially to 1,745. In the first quarter, global executive search adjusted EBITDA grew to approximately $61.6 million, which was up 53. $0.5 million year-over-year, and up $11.7 million or 23.5% sequentially. Adjusted EBITDA margin in the first quarter was 28.4%. Now I'm going to turn the call back over to Bob to discuss our outlook for the second quarter of fiscal '22.
Robert Rozek: Great. Thanks, Gregg. As I mentioned, new business in the first quarter grew to a new all-time high. So we're really starting to second quarter with a strong backlog of work. August is historically a seasonal month influenced by summer vacations. But new business for August was up approximately 41% year-over-year and was in line with our expectations.  Now, if monthly trends in each of our lines of business are consistent with historical patterns and market conditions remain strong, we expect demand to continue to accelerate with new business up sequentially in September, peaking at a quarter high in October. Additionally, as previously discussed, we are going to continue to make near-term investments in consultants and execution staff to fuel future growth.  And we do expect employee productivity to remain strong in G&A spend to remain at or near current levels in the second quarter, keeping both earnings and profitability strong. Now, assuming no major delta variant related lockdowns or changes in worldwide economic conditions, financial markets or foreign exchange rates, we expect our consolidated fee revenue in the second quarter of fiscal '22 to range from $585 million to $615 million.  And our consolidated diluted earnings per share to range from a $1.30 to a $1.44. as we've begun our new fiscal year, we continue on a path of strong financial performance, leaving no doubt about our strategy or the durability of our business model. Today, we stand alone in industry of one going to market with unique end-to-end organizational consulting solutions that continue to grow in relevance.  A robust new business generation over the past 6 months is a true barometer of marketplace recognition. Korn Ferry has never been better positioned to serve all of its constituencies, colleagues, clients, candidates, and shareholders for years to come. With that, we would be glad to answer any questions you may have.
Operator: And ladies and gentlemen, if you wish to ask a question, [Operator Instructions] You hear a tone indicating that you've been placed in the queue. You can remove yourself from the queue by pressing the same 1-0 command. Once again, it's 1-0 for any questions or comments. Our first question will come from the line of George Tong with Goldman Sachs. Your line is open.
George Tong: All right. Thanks. Good morning. Hey, so you've delivered strong quarter-over-quarter growth in all of your business lines. With consulting being the exception, we saw a little bit of quarter-over-quarter moderation in revenue trends there.  And also consulting new business growth was strong in the double-digits, but did decelerate in the prior quarter. So I just wanted to see if there were any notable trends that you would call out in the consulting business that may be a little bit different from the rest of the business that you're seeing?
Gary Burnison: No, I wouldn't say so. One of the good problems to have is capacity. And we are working very hard on ensuring that we have the appropriate level of capacity. Not only for years to come but over, over the next few quarters. So it's a bit of a balance. And then the second thing is to make sure that we're continuously repositioning solutions, trying to anticipate what's on the horizon over the next few quarters.  One example may be ESG, where we have a brand new offering that we're taking the market right now and you will see more of that in the next few weeks. So it's really those two things. Our rate per hour was, I think very strong and our utilization was very good. And our DEI work continues to flourish.
Robert Rozek: And George, the other thing I would say that we saw in consulting was we saw the smaller engagements actually start to accelerate. We have been talking over time about the large engagements and that's where we were seeing the real growth.  For kind of the first time, we saw the small engagements also accelerating in terms of growth. So I think that's good news going forward as we think about the smaller engagements, especially internationally, we feel very positive about the growth potential there.
George Tong: Now, that's very helpful. And then on margins, you delivered a very strong flow through in fiscal 1Q EBITDA margins. As you look ahead, how is your outlook for margins changed over the next 1 to 2 years? Previously, you had said 17-18% with 18% plus achievable. How is that changed? Have you've been outperforming your expectations with respect to profitability?
Gary Burnison: Bob, do you want to handle that?
Robert Rozek: Yeah. I think George, we have been exceeding our expectations in terms of profitability. As our new business continues with real strength, as Gary mentioned, we're kind of chasing capacity to deliver. And so at some point, the cost base from the compensation perspective will catch up to some extent. And that will put some downward pressure.  We're still working through some of the real estates, and it's pretty complicated when you think about the number of offices we have, and you're in different cities across the world, you have to negotiate with landlords, you have to think about sublet opportunities and so on. But we still expect to get savings overtime on the real estate.  And then, I would expect the business development, travel expenses are still at depressed levels. I would expect them to come back to somewhere -- nowhere near where we were, but maybe to a more moderate level. I mean, I think we still would stick to the set longer-term 17% to 18% plus opportunities as we continue to ramp the organization.
George Tong: Got it. Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Tim Mulrooney with William Blair. And your line is open.
Tim Mulrooney: Hey, this is Sam on for Tim. Thanks for taking our questions here. Your guidance for the first quarter was for revenue of 535 million to 555 million. And you beat that estimate by about 7% here. I guess I'm wondering which pieces of the business exceeded your internal expectations and which pieces of business were more or less in line with your own projections.
Gary Burnison: Well, I would say that in general, the businesses across the board exceeded our expectations. And we were very worried about the way of the virus that we just -- that looks like we have made it through at least this Delta variant. And so that was clearly on our minds. And I think the other thing is the RPO and the professional search businesses.  Those are outstanding businesses. RPO has demonstrated a multi-year, multi-quarter track record of delivering high-quality, high organic growth. And that certainly exceeded our expectations and the professional search area is one where that's a twenty billion, thirty billion dollar market. And that's one that Korn Ferry is going to become an increasingly relevant plan.
Tim Mulrooney: Great. That's helpful [Indiscernible] a little bit here. With more than 600 million of investable cash, I was kind of hoping you provide maybe an update on your capital allocation priorities for fiscal 2022 here. Outside of a small repurchase on the dividend, how would you characterize your appetite and the pipeline for M&A?
Gary Burnison: I would say, number one, that we have a very balanced and systematic approach to capital deployment. And so that's a combination of number one, investing in the business, and number 2, balancing that desire with shareholder returns. And part of that game plan is clearly inorganic growth. And I would say that the pipeline is good.  We don't feel compelled by any sense of timing that we have to do something. But I believe we're at the beginning of a journey here. And years and years ago, I said this will be a multi-hundred-million-dollar organization, then it was multi-billion. I mean, we're really just at the beginning, and M&A is going to play a very important role in that.
Tim Mulrooney: Great thanks for the answers there.
Operator: Thank you. Our next question comes from the line of Mark Marcon with Baird, and your line is open.
Mark Marcon: Hello, everybody. And congratulations on a great quarter. Wondering if you can talk a little bit about the opportunity in a professional search. It is a huge market, and I'm just wondering, what are you seeing in terms of your capacity? How many -- how are you thinking about additions over the course of this year to the staff there and where are you getting the folks from?
Gary Burnison: Well, you're right. It's clearly a large addressable market for us and an adjacent market to that may even be staffing. So we have ramped up, and we continue to ramp up very aggressively the number of consultants in that -- in that business.  And we've since January, We've probably ramped up revenue-generating capacity by about 50%, and we're going to absolutely continue to do that. The other thing though, is that it's got to be more than just bodies. And what our RPO businesses told us is that the combination of IP with incredible talent can create a very nice organic growth story.  So the second piece is making sure that we're incorporating our IP in -- into the offering. And the -- where the consultants are coming from. It is a lot of what I would call mostly smaller, very specialized recruiting firms. There could be some that are larger.  But the final piece is that M&A has to play a role in that. And you can't just do it a body at a time, with IP alone that -- that's great. But there also has to be an inorganic strategy. And so we are really pursuing all of those three avenues.
Mark Marcon: Right. How would you anticipate ramping the capacity over the next 6-12 months, Gary?
Gary Burnison: I would continue at this pace. There is -- Mark, you see it, but it's unlike anything I've ever seen that the megatrend, the changes that are happening right now from baby boomers to career nomads to upscaling talent to technology and digitization is just massive change.  And the desire from clients to hire people that have those types of technical technology, digital skills is something that I just haven't seen. Combined with the backdrop of this massive transition and transformation around the world of work.  And I really believe this is going to continue for the next couple of years where not only companies making changes, but also people making changes, life choices of what they want to do or where they want to live. It's pretty -- it's obviously a hard time for many people, but it's also a very exciting time.
Mark Marcon: What percentage of the positions that you're filling is available on our work-from-home basis at this point, whether it's in a professional or an executive search? How would you quantify that?
Gary Burnison: Yeah. It's a substantial, substantial amount. It's more than -- it's definitely more than 50% for sure. And I think at the end of the day when you fast forward 2 years, I think that -- the environment, it's going to be clearly hybrid. It's going to be flexible. Obviously, there are some positions where that won't be the case. But yeah, it's a substantial amount, Mark.
Mark Marcon: And that should actually increase your competitive advantage, particularly relative to more regional firms given your wide database, no?
Gary Burnison: I would think so. I mean, I would absolutely think so. And change is really good for a consulting business. And, man, we are in the middle of a tsunami of change.
Mark Marcon: Great. And can you just talk a little bit about what you're seeing on the consulting and the digital side, particularly as it relates to sales training, and to what extent that may have picked up?
Gary Burnison: Yes, it did tick up. And we've made a big push there. We made an acquisition a couple of years ago that was principally anchored around -- well, two things, project management, the ability to train people to manage projects but also around sales training, and we've definitely seen a pickup in this quarter. And as Bob talked about -- and Gregg, in terms of the uptick in subscription sales, a lot of that was actually driven by the sales training capability.  So organizations are now, they've come up for an errand and are looking around, "How do they go-to-market? What is the customer journey look like? And so I would continue to believe that a good part of our professional and leadership development will be around accelerated revenue growth or more simply, around customer experience and sales training.
Mark Marcon: Great. And then one last one if I could just squeeze it in, Gary, while we have you is -- you've been through many cycles. Obviously, there's some discussion about, is this as good as it gets, or are things peaking? How much of the activity that you're seeing is basically just a surge to make up for COVID versus some of those bigger, longer-term trends, whether it's selling to marquee accounts, cross-selling, The baby boomers retiring, the work from home options. How would you characterize that?
Gary Burnison: If you would have asked me five months ago, six months ago, I probably would have said that 50% is you could call it pent-up demand or you could call it companies that maybe cut too much. I wouldn't say that today. I would say that the environment of change is I just haven't seen anything like this.  And whether that's the career nomads, whether it's the digitization of everything, I think we're in for a couple of years, just a massive amount of transformation and change. So I believe that the megatrends are really -- it's really the big part of the narrative today, whereas 5 months to 6 months ago, I would've said it's maybe half the narrative.
Mark Marcon: It's very helpful. Thank you.
Operator: Thank you. Our next question will come from the line of Marc Riddick with Sidoti. And your line is open.
Marc Riddick: Hey, good morning.
Gary Burnison: Hey, Marc. Good morning.
Marc Riddick: So I was wondering if you could follow up a little bit and really appreciate all the commentary and color that you've already given. I was wondering if we could spend a little bit of time on the progress that you've seen with broad-based recovery coming from smaller clients.  And I'm wondering if you could address that a little bit maybe. If you're -- are you getting a sense that those that have picked up a little bit more lately, maybe what's been driving that?  Are there particular industry verticals that we should be thinking about that of now picked up their activity that maybe lagged others, and how we should think about that difference -- that bifurcated activity level? That you are seeing kick in now.
Gary Burnison: Well, let me -- Bob, you can add to my commentary here.
Robert Rozek: Sure.
Gary Burnison: I think on a broad stroke, our desire would be to put an outside emphasis on larger engagements for a whole side of reasons. And coupled with that, our marquee and regional accounts. So that is still our strategic desire. That's not to say that we wouldn't pursue smaller engagement, say less than 500,000 or so because we clearly would. But our desire is to definitely have more impactful multi-regional engagements because that's clearly -- we have a global platform with IP that cuts across the world. I would say it on an industry basis and this may be intuitive, but what we have seen over the last few months is clearly an uptake in consumers.  And you would probably guess that given how we came out of the first wave. That's -- whether that's travel and hospitality, whether it's fashion, whether it's retail, we've definitely seen that. And then secondly, technology kind of across the board. So that's -- I think that kind of sets the landscape. And maybe Bob, you could comment further on the smaller engagements.
Robert Rozek: Sure. Marc, if you look at the engagements under $0.5 million, we basically break them up into three buckets: less than 100,000, 100,000 to 250,000, and 250,000 to 500,000. And we actually saw in total for that low street category in excess of 50% growth year-over-year, and each category was roughly in line with that growth.  What we're seeing is Mark [Indiscernible] talks about filling up the jar with big rocks but you still need to sand and the sand is what he refers to as a smaller engagement. Is what we're seeing, particularly overseas in Europe and Asia-Pac, is where the smaller engagements are picking up.  And as I think about the business historically, we had strength in those regions, in-country dealing with some of the smaller clients. And that was spending that had really been impacted by the pandemic. The [Indiscernible], and now we're starting to see that rebound which we think is a good signal.  Again, we still had, as Gary said, our emphasis is on engagements above $0.5 million and we saw strong continued growth in those engagements. But this is the first quarter where we really saw the small stuff start to bounce back. So I would say it's just more on a regional basis if you will.
Marc Riddick: Great. And then my next question and I will preface this by saying I admit this is a bit of a squishy question, but I just wanted to get your thoughts on it. You go back a few years ago to when you made commentary in investment, you made the decision to brand everything, Korn Ferry.  You made the decision to step up your branding efforts pre-pandemic. You've made the decision to move forward with the Korn Ferry brand across the board. You made the decision to do the golf tour, and what have you.  All of those things, I was wondering if you so a little bit of time may be on what your thoughts are there as to the effectiveness, I know it's -- I've covered advertising before, so I know it's always difficult to ask somebody to what the ROIC is above branding exercise.  But I was wondering if you could spend a little bit of time on the sort of where you are today versus when you made those initial decisions and how you think about it currently.
Gary Burnison: Well, I would say in professional services, there -- there's no substitute for knowledge, know-how, and insight. And that's the business that we're in. And so I think coupled with those branding decisions, the very important -- that we have been incredibly consistent and purposeful not over weeks, not over months, not over quarters, but over years.  We believe that this is a multi-multi-billion dollar opportunity to create an organization that sits at the intersection of talent strategy in an organization. So ultimately, it's knowledge, and its insight, and its IP. And that's what the film is based on. So I would say that is number one. Having said that, as I look back, clearly that decision around branding, and around thought leadership, and all the things that we're doing, I think it's been an absolute game-changer for Korn Ferry.  I firmly believe that we have elevated the brand of Korn Ferry more in the last two years than we've done in the last 52 years in our history and business. And that's not just a statement, that's backed up by the data that we track. And whether that's social media or whatever, the data would tend to back that up.  Now, if we continue, which we will, with a balanced approach to growth around organic and inorganic, there will be times where you make an investment and you run that Company without a brand for a certain amount of time and I wouldn't be surprised if Korn Ferry does that in the future. But I think that the investments we've made, the thought leadership we've done, the social media presence.  All of that has been an absolute game-changer for Korn Ferry as well as the consistency and the voice that we've taken in the marketplace around different types of issues, whether that is gender, whether it is around race, Korn Ferry, I think has been a very, very strong voice in the marketplace. And today, if you just look out now over the next few months and quarters, ESG is going to continue to be a major issue for organizations.  And that's why we've been working very, very hard over the last several months to make sure that we can put together an integrated solution for companies that will grapple with this issue, as well as the other issue around horizontal leadership. The days of vertical leadership, I think, are long gone particularly in this world of work today where it's hybrid, it's work from anywhere, anytime.
Robert Rozek: And I would add, Gary, you've kind of outside-in perspective but inside out, I see just a huge difference in the organization as I interact with people across the Company. Lines have absolutely been broken down. I think there's much, much more collaboration amongst the different lines of business and so on.  And I think the folks internally present themselves as one Korn Ferry versus where we were four or five years ago. So I think -- and Gary is absolutely spot on in terms of how we show up in the outside world but I think also internally, I see just a massive difference in how people interact and engage today.
Marc Riddick: Excellent point. Thank you very much.
Operator: Thank you. Our next question comes from the line of Tobey Sommer with Truist Securities. Your line is open.
Tobey Sommer: Thank you. I had a question about ESG and, I guess, DE&I if you consider that a part of the same team. What percent of sales is generated from that currently? And could you talk about the opportunity and what it may be in the future and how your current offerings map against that opportunity or maybe need to be refined to fully capitalize? Thanks.
Gary Burnison: Well, the -- I would characterize those businesses as being nine-digit in total. And so whether that would be 8, 9, 10% of the Company depending on what you count in there. So it's certainly not an overwhelming share of the portfolio today. But the ESG opportunity, the DEI it's not an isolated question.  And it ties to an approach to enterprise leadership, that is number one, it's more inclusive leadership, which we have digital offerings for that. It applies to the total enterprise, and it's not just vertical leadership anymore. It's horizontal. So those opportunities are not just, for example, around paying governance, which we have a very nice business there.  But they also speak to organizational strategies and organizational transformation. And the type of success profiles that you need, whether you're fit for purpose, whether you then -- does the compensation system reward and reinforce that fit for purpose. So it's not necessarily an isolated question around ESG and D&I.  But the way that we are looking at it is more around horizontal leadership, enterprise-wide leadership. So I think that we've spent quite a bit of time over the last several months making sure that we bring the different parts of the organization together where we can have an offering that is very, very integrated. How big that opportunity is, Toby, I don't -- I can't speak to that. But I don't -- I don't think this is a fad and I do think it plays into the megatrend that we're seeing that, fortunately, or unfortunately, this virus has created and prompted just a tremendous amount of change.
Robert Rozek: Tobey, it's Bob. One of the things that Gary mentioned earlier is we're going to be rolling out a new ESG solution. And as part of that rollout when we're ready to go prime, which is in the next couple of days, we have a slide that actually takes -- and it's a little bit broader than ESG.  It takes ESG, workforce transformation, and so on. And it lines up our solution sets under nine different categories from board capability and governance to embedding ESG in the operating model. Executive goals and reinforcement mechanisms and so on.  And so that's something that we will share with you as soon as we're, again, ready for prime time over the next couple of days. But it gives you a real sense for our solution sets and then how they line up in -- again, it's not just ESG, but the broader megatrends that Gary referred to.
Tobey Sommer: Thanks. I appreciate that. If it is 88 or so percent today and I told you I thought it could double in four years, would that give you [Indiscernible] or is that within the realm of a possibility?
Gary Burnison: Well, I think the thing that we're very careful about is whiplash leadership. And it's -- this is a time of tremendous transition, and we're not going to just go from happy to glad. So it's hard to make any declaration statement today because the world is in transition.  But if you told me that, I think that maybe on the high side, but you know, it really -- is it in the realm of possibility? It could be in the realm of possibility. Part of that is dependent on the waves that this virus and the political climate in the world. But there's no question that we're going through a seismic change in many dimensions right now.
Tim Mulrooney: Okay. Some of all other questions have been hit. I just wanted to touch on, Gary, capital deployment. How do you balance having flexibility, which you had ample liquidity net cash?
Tobey Sommer: position now. And you're -- I'm sure long-term goal of driving return is higher when you leave that stranded capital there. You work at odds with that longer-term goal. How do you balance that out? And are there any thresholds of liquidity that you could draw a line on and say we won't go above there because that's just too inefficient? Thanks.
Gary Burnison: Well, I can let Bob speak to the metrics. I would say that number one, actions speak louder than words. And so I think if you are a shareholder in Korn Ferry and you believe in the strategy that we're creating a Company that set the intersection of talent in organization and strategy, number one.  And number two then, you'd have to say okay, do you believe in the leadership team? And I think as part of that, you would look at the track record. And you would say, okay, have these -- has this Company done what it has said consistently over time? And I think the answer would be a resounding -- of course, I'm biased but would be a resounding yes to that question.  Clearly, we've got a good problem on our hands. And you pointed out very subtly, and we're very well aware of that. But the last thing we're going to do is to rush into something that in five years could be very, very harmful for the brand of Korn Ferry.  And so that is the thing we're not going to do. We do like having that flexibility But there does come a point where you say, it's inefficient. And Bob, maybe you can speak to how we think about the operating boundaries and shareholder boundaries.
Robert Rozek: So Tobey, as we look at the organization in how much cash we are carrying, I think we -- I wouldn't say we have a specific number that we won't go above. And we talked a lot about our balanced approach towards capital allocation.  And as we see the investable cash balance is growing and again, some of it depends on where in the world those -- that cash sits, because some of it is inaccessible to us easily. But where we are today, we've got the $220 million I spoke about sitting in the U.S.  And we'll look at the different opportunities that exist for us to deploy that cash, whether it's looking at investing more into the digital business or hiring more fee earners. or what we did at the end of the year last year as we increased our dividend.  This quarter, our buybacks weren't as substantial as they have been in the past. But we really look at all the levers. And depending on where we sit at the time and trying to achieve a return greater than our cost of capital for shareholders, we will make decisions along each of those factors to either pull the lever or, as Gary said, we're we'll sit tight if we don't have an M&A opportunity, and will look more towards stakeholder returns at that point.
Tobey Sommer: Okay. We'll be watching for that. Thanks.
Operator: Thank you. And we will take the final question from Tim Mulrooney with William Blair. And your line is open.
Tim Mulrooney: Hey guys, thanks for letting us hop in the queue here again. Just a quick one around marquee accounts and that's been a big topic of discussion. You've mentioned over the last few quarters here that marquee accounts have outperformed the rest of your portfolio. I guess I'm wondering if that dynamic occurred in previous recoveries or if this is really due to the extra focus you're giving to these accounts now.
Gary Burnison: Well, Bob, you can maybe add to this. I would say that, yes, over the last few quarters, they out -- that portfolio has definitely outperformed. The reality is when you go back to the last major recession, which was the great recession. At that point, our account strategy was nowhere near what it is today. So it's really not comparable.
Gary Burnison: And so I can't really answer that question. And it's not only the marquee and regional accounts that are absolutely an important part of the Korn Ferry story. But the other thing we do look at is the cross-referrals. And that's not going to go up every quarter. That's absolutely not going to happen. But when you -- it is something we pay attention to and we look at both of those.  And those are. That's not just a KPI. We actually reward our colleagues for those cross-referral. So we tend to look at those together. And I think when you look at them together over many months, multi-quarter basis, you would say, okay, well this thing, it is working.  But it's hard to compare because they just weren't in its -- it wasn't in its maturity 13 years ago. And we're still -- we still are at the very, very beginning. Even with the account strategy when it comes to our, what we would call our regional accounts.
Robert Rozek: Gary, you only I would add you just mentioned the word that I was going to say. I think it's really just the maturity of the program. When you think about the number of account leaders we have on hand, you think about the organization's recognition of the program.  You think about the cross line of business referrals that you mentioned. It's really just the maturation of that program. And as Gary said, I would say the marquee accounts are further along that spectrum. The regional accounts are much more immature if you will.  They've been in existence for 2 or 3 years now. And so, we expect the performance on the regional accounts to overtime to catch up and mirror what we're seeing on the marquee costs. But definitely, I don't think it has anything to do with the recovery. I think it's just the program maturing itself.
Tim Mulrooney: Great. I appreciate the color there, guys.
Operator: Thank you. And Mr. Burnison, I'd like to turn it back over to you for any closing comments.
Gary Burnison: Well, thank you, everybody, for joining us and recognizing that the world, in many respects, is still going through hardships. And our hearts go out to those that still are experiencing this. And to some extent or another, we all are.  But with that also, with crisis comes opportunity, and those tend to come in times of great change. And that is the period that we're in. And we're very, very hopeful about the megatrends that are playing out. So I want to thank our colleagues again for their resiliency, for the outstanding effort, and for our shareholders for listening. Thank you very much. And we'll talk to you next time.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay for one week starting today at 3:00 p.m. Eastern Time, running through September 14th at midnight. [Operator Instructions]. Additionally, the replay will be available for playback at the Company's website, www. kornferry.com in the Investor Relations section. That does conclude your conference call for today. You may now disconnect.